Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2019 South Jersey Industries Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.[Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker, Mr. Dan Fidell. Sir, please go ahead.
Dan Fidell: Thank you, Valerie. Good morning, everyone. Welcome to SJI's third quarter earnings conference call and webcast. I'm joined today by Mike Renna, our President and Chief Executive Officer; as well as several additional members of our senior management team. Our earnings release and the presentation slides that accompany the call were issued yesterday, after the close of the market and are also available on our website at www.sjindustries.com. The release and the associated 10-Q provide an in-depth review of earnings on both the GAAP and non-GAAP basis using our non-GAAP measure of economic earnings. Reconciliations of economic earnings to the comparable GAAP measures appear in both documents. Let me note that throughout today's call, we'll be making references to future expectations, plans and opportunities for SJI. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in the Company's Forms 10-K and 10-Q on file with the SEC. With that said, I'm pleased to introduce our CEO, Mike Renna, who will review our current operations significant initiatives and outlook. SJI's Chief Financial Officer Cielo Hernandez will then review the financial performance of our individual segments and discuss our ongoing balance sheet strengthening activities. Mike will then offer some final remarks. After that, we'll be happy to take your questions. And with that introduction, let me now turn it over to Mike.
Mike Renna: Thanks, Dan, and thank you for joining us today. I am pleased to report that our third quarter results were in line with our expectations, and that our transformation efforts continue to proceed on track. Before we review the third quarter financials, I want to give you an update on several key pieces of our strategic transformation. The integration of Elizabethtown is going very well. It remains a largely efficient process, thanks to the hard work of our dedicated employees with full integration of services and systems, including the winding down of our TSA with Southern, on track to be completed in Q1 2020. We are encouraged by the continued strong demand for natural gas across the different regions we serve. At South Jersey Gas, annual customer growth remained solidly above national averages, fueled primarily by conversions. At Elizabethtown Gas, we expected steadily improving customer growth numbers as we integrated our sales teams. I am very encouraged by our early results, particularly in new construction, highlighting the sustained appeal of natural gas across geographies and across demographics. On the regulatory front, as you know, we have been busy this year planning and executing several important long-term initiatives for Elizabethtown. In June, the BPU approved a 5-year $300 million infrastructure replacement program for Elizabethtown, authorizing replacement of 250 miles of aging cast iron and bare steel pipe. Recall, this important modernization program is very similar to South Jersey Gas' AIRP program and includes annual rate true-ups each October. And in April, Elizabethtown filed a petition with the BPU requesting a revenue increase of approximately $65 million to recover $346 million in system improvements that are not currently reflected in base rates. This case is proceeding on track and we are pleased with the settlement we recently reached with all parties. We are in the final stages of memorializing the settlement for BPU review, and look forward to concluding the case soon. Last, on the financial front, the sale of our non-core assets over the past year as well as our refinancing activities, is steadily improving our balance sheet. As you know, we previously sold our solar assets and our retail gas assets, using more than $300 million in net proceeds to repay debt. In September, we successfully completed a $200 million offering of junior subordinated notes due 2079. The long duration of which is viewed favorably by rating agencies from an equity perspective. Throughout 2019, we've been focused on building a foundation of solid regulated performance. We are pleased with our progress and encouraged by the strong demand we continue to see for natural gas. As a result, we are reaffirming our 2019 economic earnings guidance of $1.05 to $1.15 per share. Looking forward, we remain steadfast in our commitment to advance the region's energy goals. We almost do our part to reduce the effects of greenhouse gases and to lower the carbon content of our energy. Gas has played an integral role in helping the U.S. become a world leader in decarbonisation, while simultaneously playing a key role in both our decade-long economic expansion and energy independence. So, whether it’d be through modernizing our infrastructure to reduce fugitive methane emissions with the investments that help customers use energy smarter and lower consumption or new technologies that allow us to leverage biofuels to lower the carbon content of natural gas, our utilities are uniquely positioned and prepared to make critical investments in support of greenhouse gas reduction and sound energy policy, a policy that will transform how we develop and use energy. As we head into the final quarter of the year, our priorities remain unchanged. We are focused on continuing to effectively integrate Elizabethtown, achieving significant cost savings from our business transformation initiatives, and effectively executing our pending regulatory proceedings. We are also reaffirming our 2020 economic earnings per share guidance of $1.53 to $1.67, driven by strong customer growth and infrastructure investment at our utilities, improved communications from our non-utility operations and additional productivity and efficiency gains from our business transformation initiatives. Our strategy remains unchanged as does our commitment to high-quality regulated earnings. With that, I'll now turn it over to Cielo to review our operational performance.
Cielo Hernandez: Good morning. Thanks Mike. As Dan mentioned, the earnings release and the slide deck provide detailed information regarding GAAP earnings. I recommend that you review that information. For this call, we will focus our discussion on our non-GAAP measure of economic earnings. We believe this measure provides valuable insight into our business performance. SJI's third quarter economic earnings was a loss of $0.30 per share compared with a loss of $0.20 per share in 2018. The variance reflects lower gas utility results driven by timing associated with our regulatory initiatives and lower energy group results, which was largely offset due to benefits associated with non-core asset sales. The sales of those assets drove improvement in our Energy segment and in our Energy Service segment and also reduced acquisition related interest expense in our other segments. Our gas utilities contributed a loss on earnings of $0.23 per share, compared to a loss of $0.19 per share in 2018. The variance largely reflects timing associated with our pending regulatory initiatives, partially offset by new customer growth and the benefit of freight true-ups for SJG on October 1, tied to our infrastructure modernization programs. Midstream earnings were consistent at $0.01 per share reflecting AFUDC related to PennEast Pipeline project. Turning to our non-utility operations, Energy Group contributed a loss in economic earnings of $0.01 per share, compared to $0.02 per share last year. The variance reflects lower results from wholesale operations driven by tighter spreads, mild weather, new pipeline operating rules and headwinds from several legacy contracts which begin to roll out in 2020. Wholesale results were partially offset by improved fuel management activities. With the addition of several new contracts becoming operational since last year and the option of retail gas marketing operations, which were sold in late 2018. Energy Services contributed economic earnings of $0.02 per share compared with a loss of $0.01 per share last year, reflecting improved CHP results and the winding down of our solar portfolio, tied to our sale agreement in 2018. Our other segment contributed a loss in economic earnings of $0.08 per share compared with a loss of $0.10 per share last year, reflecting the benefit of the debt repayment driven by non-core asset sales and debt refinancing activities. Turning now to capital spending, our year-to-date spend as of September 30, 2019, totaled more than $327 million. And we remain on track for approximately $530 million in capital spending in 2019. As Mike mentioned, we remain committed to improving the strength of our balance sheet and credit metrics. As of September 30, 2019 equity to total capitalization was 31% as compared with 28.9% at December 31, 2018. The improvement reflects the issuance of our equity forward in January and more than $300 million in debt repayments from asset sales. As previously communicated, our growth plan includes our mandatory convertible units, equity units of $287.5 million, due in 2021. Including conversion, our adjusted equity to total capitalization ratio a non-GAAP measure was 36.4% at September 30, 2019 and 35.3% at December 31, 2018. During the latest period, we successfully completed an offering of $200 million in junior subordinated notes due in 2079. Given the long duration and deeply subordinated nature S&P assigned 50% equity credit to the notes. As we have discussed on previous calls, we anticipated proceeds from the potential sale of any additional non-core assets will be used for further debt repayment in balance sheet strengthening. That concludes my remarks. I will now turn it back to Mike.
Mike Renna: Thank you, Cielo. As I conclude my remarks, my thanks as always to our approximately 1,100 dedicated employees for their outstanding work to execute the strong growth path we've outlined for you. Before we open it up for questions, I'm sure some of you have questions regarding our PennEast project which has been in the news quite a lot lately. Let me be very clear. The PennEast member companies remain fully committed to the project and the affordable reliable service it will bring to the region including nine million New Jersey residents. This is a vital project for our state. PennEast was 90% subscribed before the project was announced five years ago and the need has grown substantially since then. We along with other natural gas utilities in New Jersey continue to express serious concern about the lack of infrastructure capacity and an inability to reliably serve families and businesses who depend on natural gas service. In September, the U.S. Court of Appeals for the Third Circuit ruled that PennEast does not have eminent domain authority over state-owned lands. In October, the NJDEP denied without prejudice our application for several permits citing the third circuit decision. We believe both actions were profoundly wrong based on established legal precedent under the Natural Gas Act, and we are currently pursuing legal and other options. As I mentioned on our second quarter call the duration of the permitting and now legal process of the project are key components to watch. It bears repeating that our 2020 economic earnings guidance range of $1.53 to $1.67 that we have reaffirmed today contemplates various outcomes from our business segments, including the potential for delay at PennEast. As previously communicated, we expect to be on the higher end of our 2020 range, if we were to receive better-than-expected outcomes for our pending regulatory initiatives, higher level of synergy benefits from our business transformation efforts, or witness an expansion of the currently tight wholesale spreads next winter. Conversely, we would expect to be at the lower end of our range, if PennEast were to face delays extending beyond 2020, if regulatory outcomes or business transformation cost savings were below our expectations, or if wholesale margins tightened significantly from already low levels. That concludes our prepared remarks. And we're now ready to open the line for questions.
Operator: Thank you [Operator Instructions] Our first question comes from Chris Ellinghaus of Siebert Williams. Your line is open.
Chris Ellinghaus: Good afternoon, everyone.
Mike Renna: Hi, Chris.
Dan Fidell: Hi, Chris.
Chris Ellinghaus: Can you give us any color on additional non-regulated asset sale progress?
Mike Renna: Steve?
Steve Cocchi: Hi, Chris. This is Steve. We're continuously evaluating those assets. We're still looking at various options. We have nothing to announce today. But if and when that happens, we will let you know
Chris Ellinghaus: Okay. Can you give us any color on the Elizabethtown settlement?
Mike Renna: Steve?
Steve Cocchi: We are in the final stages of memorializing that settlement. Our expectation is that, it will be in front of the BPU for an approval very shortly. Once that happens and the terms are made publicly, we'll be happy to speak more about it.
Chris Ellinghaus: Okay. As far as the Energy Services quarter went, what led to the fairly sizable positive swings for CHP and solar?
Mike Renna: Well, in CHP, I think it's just a function of the timing of the year, Chris. We tend to – the way the contracts are designed, the summer months tend to be the more profitable months for CHP, which as you remember right now is just our MTF asset. So I think that's really behind the performance there. As far as solar goes, I believe that's just – there were two assets that we ultimately did not transfer as part of the sale with Goldman Sachs. We are actively negotiating a sale of those assets. But in the interim, as there are still assets held for sale, we do book the SREC revenues associated with those projects.
Chris Ellinghaus: Okay. Was there – are those projects maybe some of the better-performing projects that would be an odd set of assets to leave behind but – 
Mike Renna: There were – as you can imagine, I mean, I don't remember the exact number of sites that were part of the deal. But each of these sites is unique. Each of the contracts had some differences. There were some issues around gaining the consent for those two projects. And ultimately Goldman Sachs just determined that they were not assets that they wanted to acquire, but they were relatively newer projects. So the cost to construct those projects was on the lower end in our portfolio. So they are strong performers.
Chris Ellinghaus: Okay. One last thing, have you gotten any kind of feedback maybe from FERC staff in terms of what their thoughts are in defending the Natural Gas Act against the Circuit Court's ruling?
Mike Renna: We have, and I'm going to ask Melissa to speak to that?
Melissa Orsen: Thank you. Hey, Chris. We have communicated with FERC and filed a declaratory order and are waiting for that decision, which we expect shortly.
Chris Ellinghaus: Okay. Thanks, guys. I appreciate the color.
Mike Renna: Thanks, Chris.
Operator: Thank you. Our next question comes from Tate Sullivan of Maxim Group. Your line is open.
Tate Sullivan: Oh, thank you. Thanks for the comments earlier on the ETG customer growth from 1% the prior quarter to 1.2%. Is that – and you mentioned sales so is that more housing construction along existing distribution lines? Is it expansions or can you just talk more about that?
Mike Renna: I'll ask Dave to do that.
Dave Robbins: Sure. Good morning, Tate. Really, we're very pleased with the growth that we're seeing at Elizabethtown and that's really coming from an uptick in new construction particularly in the Northwest territory, but there's quite a bit of conversion opportunities that we've been able to capitalize on in the union territory. So it's really not a nice mixture of conversion growth and new construction and we expect that trend to continue.
Tate Sullivan: Okay. Great. Thank you. And then can you talk a little bit what you have to finalize in terms of the redundancy plan? Is it internal engineering designs or the layout of the pipes to a potential LNG storage tanker? Or what are the steps there please?
Dave Robbins: So, I'll take that one as well. We have finalized our engineering studies. We are getting ready to very soon to go socialize that with staff. Once, we socialize that again that option is backed by a redundancy study that we had performed by a third-party. We'll socialize the project and then we would expect probably by the end of the year we would make a filing for engineering and route which would be customary. So the project is picking up steam. We really like it. It's a critical supply redundancy strategy for us. As we mentioned it would probably be about a two Bcf tank located strategically on our system and would mainly serve as a 15-day peak supply facility.
Tate Sullivan: Okay. Thank you for that. And Mike just can you -- I mean last year given the timing of the dividend announcement just refresh on how you're looking at the dividend and payout and given the increase in EPS potentially in 2020 as well please?
Mike Renna: Yes. Well first it's a decision of the board. We do review our dividend policy annually and we'll be doing it again this November. Our policy right now is to bring our payout ratio down to 55% to 65% range. We expect that while we're getting to that range we'll be paying out a dividend at around 3% -- or a dividend growth rate of around 3%. And once we get into that range then our plan would be for our dividend growth rate to reflect our EPS growth rate.
Tate Sullivan: Great. So thank you for that.
Operator: Thank you. [Operator Instructions] Our next question comes from Chris Turnure of JPMorgan. Your line is open. 
Chris Turnure: Good morning, guys. 
Mike Renna: Hi, Chris.
Chris Turnure: I wanted to follow up on PennEast a bit here just with the kind of major headlines over the past two months, what exactly is the legal path forward here? And kind of what are the different permutations at FERC and otherwise?
Mike Renna: I'll be happy to answer that, but it's probably better to have Marissa -- Melissa answer that question. But before I turn it over to her, there are legal options available to us as a group. The partners are exploring those legal options. Certainly one was to ask for an en banc hearing which as you know on Tuesday was denied. So as far as future options go I'll just turn it over to Melissa.
Melissa Orsen: So we certainly don't want to get out ahead of the PennEast board, but we do consider -- continue to have options that we are exploring and the board remains committed to seeing the project through. So as soon as we can be more clear about the specific legal path we will do so.
Chris Turnure: Okay. And can you remind us of the current capital that's been spent at the project level and at the SJI level as well? And then just -- you touched I think Mike on this in your prepared remarks, but if the project was not to deploy any additional capital through 2020 would you still be able to hit the low end of your EPS guidance range for next year?
Mike Renna: Yes. As far as the total amount of capital that we've spent for us individually for PennEast, I believe it's around $80 million. So again, as a partnership it would be about $400 million, I guess, is the slide partners, but do the math. And as far as how this impacts our 2020 guidance you're correct Chris. We set our targets at the midpoint of a rather wide range. If you remember we did say 2020 guidance this past May. And at the time that we said it we did caveat it with that there's a lot of things that can happen both positive and negative over the nearly two years that were ahead of us. And one of those risks was PennEast and a delay in construction. We are -- given that the decision of the Third Circuit just came out Tuesday, we're in the process right now we're revising our expectations with respect to capital and PennEast. There are options in front of us where there could be activity as early as the fourth quarter of next year. But there are also options in front of us where that could be delayed into 2021. It's -- until we settle on an exact legal strategy and get a better sense of the timing on that it's a little difficult for us to kind of pinpoint when the spend might occur. But certainly, I think, it's fair to say that the project is going to be delayed and it's -- we're not going to be in service by the end of 2020. As far as how does that affect our earnings again if PennEast were to be delayed or PennEast is delayed and we're unable to accomplish any of the things that I outlined in our prepared remarks with respect to new investment opportunities synergies regulatory outcomes then yes, we would be below the midpoint. But to the extent that we're able to either exceed expectations in any of those three categories or if there is -- if PennEast does happen to get on a fast track and we do begin some preparation activities in the fourth quarter we could be -- we can offset the impact of a delay in construction.
Chris Turnure: Okay. That's fair. I think kind of understand the message there. So certainly a material negative for 2020 based on what you're kind of seeing so far for PennEast in and of itself, but you've built in kind of a lot of other puts and takes into 2020 for other business segments. And should those kind of materialize at the rough midpoint of the range or better that would keep you within the overall guidance range?
Mike Renna: Yes.
Chris Turnure: Is that fair?
Mike Renna: It is.
Chris Turnure: Okay. And then remind me of your financing plan underlying the 2020 guidance again and kind of what that is contingent upon if anything especially now that you've done the junior subs?
Mike Renna: We have back last October so a little over a year ago we had disclosed that roughly $125 million of equity was built into our long-term plan with that equity being issued in 2020. And it was tied to the redundancy project that Dave just spoke about. We've also since that point said that that number was flexible and would move up or down depending on the size of the project. The project is now in its -- further along in terms of design. So we have a better sense of what the ultimate capital outlay would be for that project. But there's still a few moving pieces mostly around timing, but also around the potential to upsize the project and sell some of that capacity to a third party. So basically once we announce the final plan and we have a number out there for the final construction cost you can assume sort of a traditional utility capital structure around that so our equity would reflect that.
Chris Turnure: Okay. And if for whatever reason that is delayed or there's a minimal amount of capital tied to that in 2020 your message is that you would not need equity next year?
Mike Renna: No, I think we would still. Our plan is still to issue the equity in advance of the project it's because we'll be going -- there's such significant investment in South Jersey Gas Company in particular but possibly also we could be accelerating some things at Elizabethtown. Again it's a little premature. These are just things that we're exploring right now as we kind of lay out our regulatory strategy over the next five to seven years. But if we were -- assuming we move forward on this project with some of the other projects that we have in the utility again some of which were actually now not a part of what our original plan was in October of last year largely driven by the energy master plan and things that we'll be doing in the utility that I touched on a little bit to complement and support the state's energy objectives. We could be spending significant unplanned capital at the utility. So we'll -- we're going to raise equity to support the balance sheet of the utilities. So to the degree that there are projects that fell outside of the original plan that will ultimately drive the amount of equity, but we will certainly need equity in 2020.
Chris Turnure: Okay. That’s very clear. Thank you, Mike.
Mike Renna: Thanks, Chris.
Operator: Thank you. Our next question comes from Shar Pourreza of Guggenheim Partners. Your line is open.
Shar Pourreza: Hey, good morning, Mike.
Mike Renna: Hi, Shar.
Shar Pourreza: So I jumped in a second late. There's a couple of calls going on. But just a question and maybe for Melissa as it's more applicable to her. But obviously, you guys are going the appeal path around this process, but -- and you're probably not in a situation where you want to talk about next steps. But I'm curious like when you sort of look at the Third Circuit decision, they didn't really delineate like why sovereign immunity applies equally to land that the state claims and interest in, but doesn't actually own versus the land the state actually owns, right? So I'm curious like is an avenue and if it really is just applicable to land that the states own right fee simple is an avenue to just simply reroute because it's -- there's a big difference with what the states have a claim on and versus what they own. So I'm curious if that's an angle that you guys are kind of looking at? And is that a potential?
Melissa Orsen: Yes, that's a great comment. Thank you for that question. And what I can tell you at this point is that we are looking at all options.
Shar Pourreza: Okay. Okay. But so -- but do you agree that they didn't really delineate? And just I'm curious like when you read the...
Melissa Orsen: I've read the decision and I see the distinction that you're drawing. So I'm looking at -- so the Third Circuit issued its decision on the en banc. It's a procedural action and we do have other legal options to pursue as well as certainly operational.
Shar Pourreza: And just curious on -- just to remind us the state owns two properties right and claims on 40 properties, is that right?
Melissa Orsen: That's approximately correct between 40 and 47, yes.
Shar Pourreza: Okay, great. That was start for the procedure question.
Melissa Orsen: Thank you for it.
Mike Renna: Sounds great. Thanks Shar.
Operator: Thank you. Our next question comes from Tate Sullivan of Maxim Group. Your line is open.
Tate Sullivan: Thank you. A quick follow-up. Can you talk about fuel management a bit. I can go back and see the last printed schedule of the contracts. But you've mentioned eight of 11 are operating? Are there renewals coming up? Or can you give an update on the fuel management please?
Mike Renna: Absolutely. I don't have the schedule right in front of me. I know they ranged from four to 20-plus years. Some of the ones that are -- that we brought online early in the development process are -- would be coming up somewhere in the next couple of years for renewal. We have been in active discussions with those facilities. I think I can say that the conversations continue to go well. We continue to perform a critical service for them. I think we're doing an excellent job and we're really critical to that plant and that plant's reliability. And so I think there's a very strong likelihood. I have a high confidence level that that we'll be able to extend these contracts. And in many cases, we'll be able to do it under better terms. As you can imagine as you get into these things, you see where you bring value and I think it's fair for us to be compensated for the value that we bring.
Tate Sullivan: Okay. Thank you, Mike. Have a good day.
Mike Renna: Thank you.
Operator: Thank you. Our next question comes from Chris Ellinghaus of Siebert Williams. Your line is open.
Chris Ellinghaus: Hey guys. Is one of the levers -- Mike, you were saying you're definitely going to do equity to support the capital projects. But is one of the levers in terms of the 2020 guidance the timing of the equity? And as far as the potential for incremental projects, would any of those be covered under sort of contemporaneous revenue riders?
Mike Renna: It's a great question, Chris. Yes, one of the levers would be the timing of the equity for sure. And again, we're going to do it in such a way that both in form and timing, we're going to want the equity to match up with the regulatory outcome. So I think there is some flexibility around form and there's also some flexibility around timing. But we're very sensitive to dilution and to making sure that we have significant progress on the regulatory side. I would want to have a high confidence interval before we start issuing equity. As far as whether or not some of these could be in a rider sure. I think when you look at the state's energy master plan fundamental to it is decarbonization. And I think as a utility operating in New Jersey, we have to be sensitive to what the goals of the state are. We can't bury our head in the sand and hope that this stuff goes away. I think we have to partner with the state. There are things that we can do to lower the carbon content of the gas flowing through our system. That I would expect those kind of projects would be rate base. To the degree that there are things that we can do that relate to energy efficiency or relate to say smart meters for example I think those are the kind of things that you would see in the form of a tracker.
Chris Ellinghaus: Okay. And lastly there's a little bit of traction taking place and through the industry on renewable gas and you have some landfill gas experience. Is that something that the company is looking into?
Mike Renna: Yes absolutely. When I mentioned ways that we can lower the carbon content of our gas, biogas is one of them. And we are actively right now assessing both service territories Elizabethtown and South Jersey Gas and identifying landfills that are situated near our infrastructure and looking at RNG as a potential means with which to lower the carbon content. I think again everything that we can do to position ourselves as a partner to the state as opposed to an obstacle for the state is to the betterment of SJI and the gas industry in general.
Chris Ellinghaus: Thanks, Mike. Appreciate it.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn the conference back over to Dan Fidell for any closing remarks.
Dan Fidell: Thank you very much Valerie. Thank you all for joining us this morning. As a reminder, a recording of our call today will be available on our website. As always, please feel free to contact either myself, Dan Fidell or Eric Jacobson for analysts and investor questions or Marissa Travaline for media inquiries. Our contact information may be found on our earnings release and earnings presentation materials. Again, thank you for joining us today and for your continued interest and investment in SJI. That concludes our call. Have a good day.
Operator: Thank you. Ladies and gentlemen this concludes today's conference. Thank you for participating. You may now disconnect.